Operator: Good morning and afternoon, ladies and gentlemen, and welcome to today's CNH Industrial 2019 Third Quarter Results Conference Call. For your information, today's conference call is being recorded. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] At this time, I would now like to turn the call over to Federico Donati, Head of Investor Relations. Please go ahead, sir.
Federico Donati: Thank you, Priscilla. Good morning and afternoon, everyone. We would like to welcome you to the webcast conference for CNH Industrial third quarter 2019 results for the period ending September 30. This call is being broadcast live on our website and is copyrighted by CNH Industrial. Any other use, recording or transmission of any portion of this broadcast without the expressed written concept of CNH Industrial is strictly forbidden. We are pleased to have here with us today our CEO, Hubertus Mühlhäuser; and our CFO, Max Chiara, who will be hosting today's call, they will use the material available for download from the CNH Industrial website. After their presentation, we will be holding a Q&A session. As a final comment, please note that any forward-looking statements, we might be making during today call are subject to the risks and uncertainties mentioned in the Safe Harbor statement included in the presentation material. Additional information pertaining to factors that could cause actual results to differ materially is contained in the company's most recent report 20-F and EU Annual Report, as well as other periodic reports and filings with the U.S. Securities and Exchange Commission, and equivalent authorities in the Netherlands and Italy. The company presentation may include certain non-GAAP financial measures. Additional information, including reconciliation to the most directly comparable GAAP financial measures is included in the presentation material. I will now turn the call over to our CEO, Hubertus.
Hubertus Mühlhäuser: Thank you Federico, and good morning and good afternoon to everyone. Our third quarter results reflect the progress in delivering on our Transform 2 Win Strategy and successful execution across our segments in uncertain and market environments. While our commercial and specialty vehicle and powertrain businesses are performing in line with our expectation, our AG and CE businesses are facing headwinds in the agricultural and construction end markets. As we look to successfully navigate these different market segments and environments, it reinforces the strategic rationale behind our Transform 2 Win Strategy presented at our September Capital Markets Day. We are already benefiting from our self-help initiatives and have advance on our streamlining and operational efficiency actions, as well as a geographic footprint optimization. These steps will better position our business segments to navigate current end market volatilities. We are also continuing to invest in innovation, technology and new product introduction across all segments with a strong focus on delivering solutions to address the mega trends we face. These innovations will not only allow us to grow our share in more profitable end markets, but also help us to gain market share with our core markets and most profitable segments. Finally, the vision, we presented to create two independent global businesses purely focused on the off-highway and on-highway markets provides a detailed roadmap for further value creation and I'm very pleased to say that we are fully on track with our plans and work streams to achieve this transformation. Turning to the third quarter and year-to-date highlights, Q3 industrial activities net sales were down 3% in constant currency due to industrial demand deceleration and dealer destocking actions affecting agricultural and construction segments while commercial and specialty vehicles and powertrain segments were flat. For the year-to-date period net sales of industrial activities were relatively flat year-over-year. We are addressing the current inventory overhang front and center with production adjustments that have negatively impacted our Q3 performance but in the expectation that we will be able to exit the year with our inventory right sized and ready to move into 2020 with a cautiously optimistic view. Industrial activities adjusted EBIT margin was down 30 basis points for the quarter due to a net price realization offsetting product cost increases with negative volume mix impact inclusive of fixed cost absorption due to production adjustments. For the year-to-date period despite the deteriorated macro industry environment, we were able to maintain the EBIT margin flat. Below the line, lower interest expense and an improved adjusted effective tax rate, led to a flat year-over-year adjusted net income and adjusted diluted EPS for the third quarter and is up more than 10% year-to-date. I will go into further detail at the end of the call, but for now, let me say that we have updated our guidance for full year 2019 slightly on the top line to reflect the deteriorated industry environment in Q3. While confirming the prior range guidance on adjusted diluted EPS confident on what has been achieved year-to-date. Net debt of Industrial Activities guidance was also adjusted to reflect the M&A activity, we have announced since our Capital Markets Day. Moving on to Slide 4, let me provide you with a high level industry update for Q3, industry volumes. First, let's look at the Ag segment. North America, row crop markets were largely weaker due to continued uncertainty as to when the trade issues that have hung over the market would be resolved and water resolution would mean for government payments and increased exports. Recent positive trends in commodity prices and the stability of used equipment pricing and high horsepower tractors and combines in North America, give us some confidence that these early indicators paired with government payments and attended a Phase 1 U.S. China trade deal will lead to stability in the market going forward. EU Tractor demand remained positive in the quarter, up 2% but combines continue to underperform more than we would have anticipated, down 13% due to partially the hangover of the challenging weather conditions during the previous harvest season. In South America and Brazil particularly farmers had a gap in funding between the early run-off of the 2018, 2019 Moderfrota program and the new plan for 19, 20 that was announced at the end of June. Following the resumption of funding during August we have seen lackluster and customer demand due to uncertainties in the macro and global industry environment. In terms of construction end markets, we have seen a continuation of the trends outlined during the mid year call. North America continues to grow, but at a slightly tepid phase due to uncertainty in many end markets caused by a combination of macro and government induced barriers. Channel destocking is fairly widespread an anticipation that these challenges will be with the markets longer than initially hoped. We have seen some strength in road building and infrastructure, but this is mostly paving and repair work financed by local governments and doesn't require a substantially new investments in equipment. EU markets are more or less unchanged with the slowing in the major markets including due to Brexit uncertainties. South American volumes continued to improve due to support of financing, but like trucks, this is off a very low level in the major market of Brazil. For trucks, the European truck market was down 1% year-over-year in the quarter with light duty trucks up 11% ahead of the September 1 implementation of EURO 6 step C. Medium and heavy trucks were down 21% due to the pre-registration of vehicles in Q2 ahead of the new legislation related to Towercast and other safety equipment that were required starting June '15. While economic growth has slowed a bit and elevated Brexit uncertainty is evident in the back half of the year, we continue to see the overall heavy-duty truck market as flat at high levels this year. South America was up 20% with Brazil, up 32% and Argentina, down 30% from already low levels achieved last year. For buses, the European market decreased 4% this quarter partially driven by Brexit related demand weakness, but the South American market increased 14% led by Brazil. At this point. I'll now hand it over to Max for the financial overview of the presentation, Max?
Massimiliano Chiara: Thank you, Hubertus and good morning, or afternoon to everyone on the call, I will take you through our financial performance in detail. In a muted industry environment in agriculture and a less vibrant than expected construction market, we have taken early on in the third quarter measures to adjust production to the revised end user demand and dealer expectations with mid teens production adjustment in Q3 versus our previous forecast. In order to maintain our production rate in line with the retail market, the topline impact has flown through the P&L inclusive of a negative fixed cost absorption but thanks to continued price realization and a disciplined approach to our cost structure we have mitigated those impacts into our quarter results. When we look at the 9-month period, the persistence of a weaker industry environment and the uncertainty of the macro environment in most of the geographies where we compete have not limited our ability to deliver on our margin journey. And while we are holding flat on EBIT margin despite increased R&D spend year-to-date and decrease in unit deliveries, we have been able to generate an uptick in our gross margin on a year-over-year basis. Moving now to Slide 5 and the key figures for the third quarter and year-to-date. Net sales in our industrial segments were down 6% on a reported basis and down 3% in constant currency. Adjusted EBIT was down 12% in the quarter and 6% year-to-date. Net income was $643 million for the third quarter of 2019. As discussed in recent regulatory filings and anticipated during the Capital Markets Day held on September 3, net income includes a $539 million non-cash tax benefit due to the release of valuation allowances and certain net deferred tax assets, as a result of a sustained period of cumulative pre-tax earnings, coupled with projections of future income before taxes in the related jurisdiction as a result of actions included in the Transform 2 Win strategic business plan. Net income was also negatively impacted by pre-tax restructuring and other asset optimization charges of $177 million due to actions included in the Transform 2 Win Strategy and namely $42 million in restructuring associated with our organizational and footprint optimization programs, and $135 million in asset optimization in our truck business to align residual values of pre-owned trucks to the targeted re-marketing plan our commercial organization has recently put in place.  We reported a third quarter adjusted net income of $221 million, basically flat from Q3 2018 while year-to-date achieved $900 million. Adjusted EPS was $0.16 in the quarter and $0.64 per share for the year-to-date period, up 10% on a year-over-year basis. The adjusted tax rate for the quarter was 28% down from Q3 last year and we expect it to be 27% for full year 2019. Net debt of Industrial Activities in the quarter was $2.4 billion, up $0.9 billion from the end of Q2. Free cash flow of Industrial Activities in the quarter was a usage of $1.1 billion due to an increase in net working capital, primarily related to a lower trade payable balance and higher inventory resulting from this typical seasonality in the third quarter further exacerbated by production adjustments due to a deceleration in industry demand versus our initial expectations. Available liquidity was $9.4 billion, down $0.4 billion compared to June 30 and up $0.5 billion compared to the end of December 2018. Turning to Slide 6, let's discuss the third quarter and year-to-date performance in our Industrial Activities net sales excluding now the impact of foreign exchange translation, which represent 2.5% and 4.5% in Q3 and year-to-date respectively of our net sales percentage change year-over-year. In the quarter, net sales at constant currency for Industrial Activities decreased 3%. Agricultural equipment decreased 6% as a result of industry volume deceleration paired with unfavorable mix primarily in North America and a general industry weakness in most of Rest of World geographies where we compete, partially offset by a sustained price realization performance of more than 2 percentage points and by sustained aftermarket activity. The resulting company inventory unit overhang, which is primarily related to lower horsepower tractors in Rest of World is for the most part a function of deliveries planned for Q4. For construction equipments, sales decreased 8% mainly due to lower sales volume in North America as a result of the channel inventory rebalancing actions and in certain Rest of World markets as a result of a weaker industry. These were partially offset by positive price realization in the quarter. Commercial and Specialty Vehicle sales were substantially flat as a result of decreased volume in truck and bus primarily related to the non-repeat of fleet transactions in medium-duty trucks in Europe and extremely low industry demand in Argentina, offset by increased deliveries in Specialty Vehicles and a sustained activity in aftermarket. Finally, Powertrain sales were substantially flat versus Q3 last year. Turning to Slide 7 now with an overview of our operating results by driver. Adjusted EBIT was $401 million with a margin over net sales of 6.3%, down 10% year-over-year, primarily due to the lower volume, mainly in AG as well as higher product cost due to raw material and tariff headwinds, higher content, and inflationary cost increases. This was offset by a positive pricing across the portfolio. Turning now to the individual segment performance starting with AG on Slide 8. Worldwide unit deliveries were down 9% in tractors and down 10% in combines and worldwide production was down 3% versus last year in the third quarter with production in the row crop sector in North America down between 25% and 30% year-on-year depending on product -- on the various product categories in the quarter, achieving an underproduction to retail at around mid-teens. Worldwide company unit inventories ended up 43% in tractors, mainly in low horsepower in Rest of World and 4% in combines. In terms of profitability, adjusted EBIT was $152 million in the third quarter of 2019 with adjusted EBIT margin at 6.2%. Net price realization and sustained aftermarket activity were more than offset by the unfavorable volume and mix impact, lower fixed cost absorption from the said production adjustments as well as higher product cost as a result of increased raw material and tariffs and a higher product content. While uncertainty remains in the agricultural end-market related to the trade tension and to negative weather events, which are impacting market sentiment and harvesting patterns, we believe the cyclical replacement demand remains in place with used equipment inventories at low levels supporting new equipment sales in North America. The order book globally generally remains lower than last year with the exception of North America tractors, which are relatively flat while Rest of World combines are up sharply, mainly due to low comps. In most geographies we have intervened starting in late Q2 and reduced our production program versus the previous cycle by mid-teens in Q3 and will continue in Q4 as a similar rate to maintain our inventory imbalance for the second part of the year. We reiterate that we currently expect to produce in line with retail in AG for full year 2019. Turning to the next slide, construction worldwide unit deliveries were down 16% with compact down 19%, general construction down 5%, and road prep down 15%. In terms of production on a worldwide basis, it was down 11% versus last year with compact equipment down 15% and the other markets more or less flat. Inventory in units were up 42% mainly in Compact segment in North America. Adjusted EBIT was $10 million in the third quarter of 2019 with adjusted EBIT margin of 1.5%. The decrease was mainly due to higher raw material cost and tariff and an acceleration of the spending related to our quality excellence initiative as announced at the Capital Market Day and some logistic cost inefficiency due to the later production adjustments. This was partially offset by positive pricing. End user demand in the construction industry in the U.S. has flattened somewhat and while there are pockets of strength in energy and infrastructure markets, they are not broad-based and in areas of equipment where we don't have large market share. While used pricing continues to hold up well, dealers have been cautious and are trying to further decrease inventory levels through the end of the year. As a result, our order book is down in North America. South America, on the other hand, continues to experience growth, especially in Brazil where compact equipment orders are up sharply and where we have superior brand recognition. Some of the much-needed infrastructure spend in Brazil has started to flow in some cases dictated by the increased need to have better routes to transport AG commodities from the field to the ports. On Slide 10 now with Commercial and Specialty Vehicles. Trucks worldwide production was down approximately 2% versus last year primarily in light commercial vehicles with Company inventory units up 10% versus last year. As a result of the transition from the old model year '14 to the new model year '19 daily lineup and the ramp up of the new heavy S-Way. Light truck deliveries were down 7% while medium and heavy were down 13%. Bus deliveries were up 4% in Europe as demand for alternative propulsion buses continue to increase both in the city bus and intercity product segments. The Commercial and Specialty Vehicle segment adjusted EBIT was $70 million in the third quarter, slightly up compared to last year. This includes a $50 million pre-tax gain realized from granting Nikola access to certain Iveco technologies as part of the previously announced $150 million in-kind contribution as consideration for the initial interest in Nikola. Absent the Nikola gain, the adjusted EBIT would have been $20 million, a reduction of $48 million compared to the previous year, primarily due to higher production costs, mainly related to inflationary cost increases and supply chain inefficiencies in our truck and bus businesses due to the production transition from old to new models, mainly in our light and heavy product lineup. And higher commercial expenses related to the launch of the newest way heavy-duty truck. Adjusted EBIT margin including the Nikola gain was 3% in the third quarter and was 0.9% excluding the Nikola transaction. As the importance of alternative propulsion and digital technologies to the commercial vehicle industry and our other industrial segments grows, transactions such as Nikola may become more common in the future if not necessarily routine. In terms of our alternative propulsion initiative LNG CNG demand came in below expectations during the third quarter as a result of the current subsidy scheme in certain new countries being transition into the new fiscal year budget. At this point, we would expect an acceleration of this demand to return in the fourth quarter. For the 9-month period the September 30, natural gas penetration within Europe for the industry continues to grow towards the 2% of total industry volume and is projected to increase further and elongate this strong replacement demand cycle for those OEMs that have competitive solutions. The market share for trucks in Europe was 11.4% flat versus last year. Trucks book-to-bill was 0.9 in EU and 1.4 in South America with order intake in Brazil up 57% from this time last year but starting from a low base. Order intake for heavy trucks, have improved substantially due to the phase-out of older models and the ramping up of the new S-Way. This was offset by lower orders in [Technical Difficulty] 
Hubertus Mühlhäuser: Not a fire alarm, it was just a bad line and we reconnected and we will continue our conference call and please excuse this 2, 3 minutes of interruption. So Max, can I ask you to continue updating us on the financials. Thank you.
Massimiliano Chiara: Thank you, Hubertus. So I'm on Slide 10 and I was just finishing the commentary about the EBIT of - special commercial and specialty vehicles. In terms of our alternative propulsion initiative LNG CNG demand came in below expectations during the third quarter as a result of the current subsidy scheme in certain new countries being transition into the new fiscal year budget. At this point, we would expect an acceleration of this demand to return in the fourth quarter. For the 9-month period to September 30 natural gas penetration within Europe for the industry continues to growth over the 2% of total industry volume and is projected to increase further and elongate this strong replacement demand cycle for those OEM that have competitive solutions. The market share for trucks in Europe was 11.4% flat versus last year. Trucks book-to-bill was 0.9 in EU and 1.4 in South America with order intake in Brazil up 57% from this time last year but starting from a low base. Order intake for heavy trucks, have improved substantially due to the phase-out of older models and the ramping up of the newest way. This was offset by lower orders in medium and light - due to alignment of dealer inventory. Bus market share in Europe was 19% and book-to-bill was 1% both in EU and South America. EU orders remained strong overall as public funds were made available throughout the continent for fleet renewal. If we move to the next slide Powertrain continues to demonstrate solid results in light of the challenging end market environment. Net sales decreased 3% in the third quarter of 2019, but flat on a constant currency basis due to unfavorable mix of engines. Sales to external customers accounted for 51% of total net sales similar to last year. Adjusted EBIT was 81 million in the third quarter of 2019 where product costing efficiencies were partially offset by an unfavorable mix of engine sales, increased product development activity and selling expenses related to the development of the third party business portfolio. It is worth noting that although these were some elevated expenses in the quarter, the new contracts associated with this will have a run rate revenue potential in excess of 150 million annually ramping in 2020 with the full amount run rate for 2021 onwards. Adjusted EBIT margin was 8.6% in the third quarter, up 20 bps compared to last year. Moving on to Slide 12 and our financial services business, the segment has continued to perform well in the quarter with retail loan originations of 2.4 billion, flat compared to last year. The managed portfolio of 25.5 billion at quarter end was up 0.8 billion versus one year ago at constant currency, with the bulk of the increase in South America and Europe. From a performance standpoint, Q3 2019 net income was 82 million, a slight decrease compared to the same period last year, mainly due to differences in risk cost accruals period to period and an acceleration of aged used equipment liquidation. Delinquencies continue to improve and reached an all-time low of CNH Industrial - for CNH Industrial of 2.8% in the third quarter of 2019 as a result of credit conditions stabilization in old markets. This is a good sign that while sentiment may be negative financial stability of our overall customer base continues to be manageable. To put this in context a bit, although net from income in the U.S. has dropped by 30% over the past six years from the record set in 2012, it is slightly above the last six year average - expected for 2019 as a result of the multiple arrays of stimulus, the U.S. administration is delivering in the current year to counter trade and weather imbalances, while fundamentals remain positive for the long term. Moving on to Slide 13, I'd like to discuss our net debt and free cash flow of industrial activities performance and provide an update on the balance sheet. Net debt of industrial activities at the end of September as said, was 2.4 billion, down 0.9 from the end of Q2. Free cash flow from industrial activities was a usage of 1.1 as mentioned in my opening remarks. Moving to the working capital dynamics during the quarter the main driver was a lower trade payable balance compared to June, end of about 700 million resulting from the normal seasonality and as a result of recent production adjustments due to industry demand deceleration and to higher inventory. At the end of Q3, our available liquidity was 9.4 billion. As detailed in the Capital Market Day in September, the strong level of liquidity permits us to look at our capital allocation priorities with a diligent approach to first maintaining a solid balance sheet and protecting our credit rating. Second, accelerate investment into our Transform 2 Win organic initiatives to foster future growth. Third, identify and execute on opportunistic value enhancing M&A initiatives as recently announced and fourth, protecting our dividend policy and delivering on our buyback program. Speaking of the buybacks during the course of 2019, we executed on the current program for the total amount of shares bought of more than 6 million units for a total consideration of almost 60 million, bringing the total of the purchases to-date to 264 million. I have concluded my presentation, and will turn it back over to Hubertus, for the outlook and his final remarks.
Hubertus Mühlhäuser: Thank you, Max. And please join me now in Slide 15 for an updated industry outlook. In the third quarter industry conditions in the main agricultural markets have further deteriorated due to market uncertainties and negative farmer sentiment particularly affected by poor yield conditions in various regions. However, we continue to remain cautiously optimistic for the balance of the year as recent developments in U.S., China trade negotiations and the related potential implications for commodity prices could have a positive impact on sentiment and accordingly revive some equipment purchases in the U.S. and Canada towards the end of the year. We also continue to have a slightly positive stands on the mine in South America although we have not seen the increased penetration of Brazil into the grain export market reflected into incremental equipment purchases as of yet. As a result of the slow start of the new subsidy scheme into the new harvesting season in 2019 and '20. Additionally, during Q4, we will be exhibiting at AGRITECHNICA in Germany, which should provide a positive stimulus as this is the largest Ag show globally and historically has been a show where especially European customers place orders. The construction equipment market remains in positive territory during the third quarter but elevated inventory level across the industry require a careful review of production levels, especially in the North American market during the upcoming quarter. European demand for heavy trucks, has been affected by the electronic Towercast introduction at the end of June with the pre-buy effect in the second quarter. In addition, negative sentiment in some of the major European markets has dampened demand for fleet replacement at a time when our commercial vehicle business is changing to new vehicle families, both in the light and the heavy segment. CNH Industrial expect the demands to remain soft during the fourth quarter of 2019, while it continues to ramp up production on the recently launched vehicles on the back of a good start of its order book with current orders for the new S-WAY up 15% when compared to the same year-to-date period in 2018 and to complete the phasing out of the older models from the dealer network. As far as the LNG and CNG sub segment, we expect pent-up demand to return in Q4 and going forward by maintaining our leading market share. With this in mind, AG and CE worldwide production is projected down double-digits in Q4 compared to prior year to realign full year production and retail. In commercial and specialty vehicles, production will be realigned in European truck and bus as we are phasing in the new heavy-duty as way among other products. Regardless of the current market volatility, we are remaining cautiously optimistic on strong industry fundamentals and our technological leadership in the areas of digitization, automation and alternative propulsion. On Slide 16, we highlight our guidance for the full year of 2019. As a result of the updated end-market outlook we have updated our full year 2019 guidance as follows. Net sales of Industrial Activities revised down by 0.5 billion now seen between US$26.5 billion and US$27 billion. Adjusted diluted EPS confirmed up year-over-year between 5% and 10% at a range of $0.84 to $0.88 per share. And finally net debt of industrial activities at the end of 2019 revised to US$0.6 to US$0.4 billion reflecting now the announced M&A activity since our Capital Markets Day. Moving to Slide 18, I would like to give an update on the implementation of our Transform 2 Win Strategy that we announced at our Capital Markets Day in September. As you might remember we clustered our strategic initiatives into the three categories of grow, performance simplify, and optimize in order to increase long-term EPS and ROIC. We would like to share updates on some selected initiatives in these categories. Finally, I will conclude with the status of our spin-off. Turning to Slide 19, as a key growth initiative in our Commercial Vehicle segment, I would like to take a moment to highlight some details around the strategic partnership with Nikola that we announced on September 3 and some near-term market next steps. As you may know, we have taken 250 million strategic stake in Nikola as a lead Series D investor comprising of $100 million in cash and $150 million in kind such as licensing of intellectual property, product development, manufacturing, engineering services and other technical assistance as well as supply of certain key components to accelerate the production timeline. The product range will comprise the Nikola One, a U.S. Class 8 sleeper-cab truck; the Nikola Two, a U.S. Class 8 day-cab truck; and the Nikola Tre, a European cabover heavy-duty truck. Initial product launch targets include the industrialization of the Nikola Tre battery electric vehicle European-style truck ready for 2021 and the Nikola Two fuel cell power Class 8 truck for the U.S. market with testing to begin in the second half of 2021. In addition, a European 50-50 joint venture is envisioned and agreed covering both electric vehicles and fuel cell electric vehicles. I'm happy to announce that we will be holding a joint press conference in Turin, Italy with Nikola leadership on December 3 to provide the market with the full view on the European alliance as well as the global product plans. We anticipate that for investors interested in participating, there will be a live webcast of the event posted to our website. With this partnership, we are once again the front-runner with an alternative propulsion system and will be accelerating the industry transformation towards emission neutrality of Class 8 heavy-duty trucks in North America and Europe, through the adoption of battery and fuel cell technology. On Slide 20, we provide an update of recent acquisitions in our Agricultural segment. Building on the already announced acquisition of AgDNA in September. We recently announced the acquisition of K-Line Ag, the Australia tillage and crop implement manufacturer. This acquisition will enable us to further grow share in our profitable crop production segment globally. Secondly, just yesterday, we announced the acquisition of ATI, a global manufacturer of rubber track systems for high-horsepower tractors and combine harvesters in an effort to confirm and strengthen our leadership position in these important product categories and to further gain market share. All three acquisition positions CNH Industrial as a driver of industry consolidation in the agricultural market. We anticipate the two new acquisitions to close during the fourth quarter of 2019. The aggregate value of these three transactions will be approximately $85 million. Moving now to Slide 21, you can see an update on selected grow initiatives across our segments. We have had another great quarter in terms of new products and awards demonstrating our innovation capabilities and helping us gain market share. Touching first on Ag, our Case IH brand has announced the launch of the 150 series Axial-Flow combine range, 250 series Axial-Flow updates and header upgrades with upgraded engines that meet Stage V emission regulations. For STEYR, the Expert CVT extends STEYR tractor range in the 100 to 130 horsepower performance segment. STEYR has chosen the Expert CVT as the launch pad in the 100-plus horsepower segments for it's proven S-control CVT transmission and S-tronic system. It is a perfect proposition for operators looking for a high-performance tractor in a very compact format and it reflects STEYR's brand positioning and ambition to become a pure play tractor technology leader. Rounding out our Ag brands, at the SITEVI Innovation Awards, the world's largest exhibition of wine, olive, and fruit vegetable production, New Holland Agriculture received the recognition of the jury panel who awarded the Gold Medal for its new self-propelled crate harvester and straddle tractor units. New Holland, as you know, is a global leader in this market segment and has pioneered the mechanization of the vineyard, working alongside our customers to help them achieve consistently a high-quality harvest, improve their productivity and facilitate their work. With these new award-winning solutions, we take a step further in providing a solution for every job throughout the year, from soy preparation, crop protection, crop management all the way to harvest. In terms of awards and contracts, IVECO BUS won a record order to supply more than 400 Urban Natural Powered buses to the Parisian Transport Authority; and for IVECO Defence, over 1,000 multirole protected vehicles will be delivered to the Dutch Ministry of Defense over the coming years. Moving now to Slide 22, you will find an update of selective strategic initiatives in the perform and simplify and optimize categories. In terms of 80/20 we continue to reduce product complexity and SKU count in our North American construction business and are targeting 60% with benefits already in Q4 2019. We are also progressing well in the North American Ag business with a reduction of SKUs of 60% identified for execution in 2020. EU initiatives in Ag and C&SV were started already during the third quarter with overall benefits ramping in Q4 of this year and on an annualized basis going forward. Next, let's review our organization optimization initiative that is taking shape through a widening span of control and a reduction of organizational layers. This initiative has led to a reduction in head count to-date of more than 500 white collar employees showing benefits starting from Q4 of this year. Additionally, in terms of world-class manufacturing, we are on track to achieve the 4% annual saving targets. And during the past quarter, I'm proud to say that the IVECO manufacturing facility in Sete Lagoas, Brazil, has attained silver status in the program. The footprint rationalization and asset optimization we spoke about in September are also well underway. We announced the closure of our Pregnana, Italy plant, and additionally, we are in the process of seizing production at our San Mauro, Italy construction equipment manufacturing facility and converting this location into a parts depot. We will start to realize the benefits from these initiatives starting in 2020. In terms of asset optimization, we have taken the charge of $135 million in the remarketing of used truck inventories to Trucks' where the residual value is aligned with the market demand. These inventories will be reduced in the next weeks, adding to our year-end cash flows. As you may have seen from the other press release this morning, we have two senior management changes to discuss. First I'd like to welcome, Jay Iyengar who is joining CNH Industrial as our new Chief Technology Officer. She comes with an impressive technology background having worked for prestigious companies along the mega trends of electrification and automation. On top of that, she will provide a valuable global perspective, having lived and worked in both India and the U.S. Let me thank Alan Berger for his service and we wish him the best for his future endeavors. I would also like to congratulate Stefano Pampalone for becoming the new President of our Construction Equipment segment. Stefano has done an outstanding job in the APAC, EMEA region where he has achieved topline and profitability growth, and he will continue to oversee that region. His leadership in CE is instrumental for this segment as we are moving from strategy to implementation being in the midst of its turnaround to earn its rights to grow. Once we see more sustainable profitability, we can start to make the first consolidation moves in the Construction segment as well. Let me also take the moment to thank Carl Gustaf for getting Construction to his point and we wish him well for his future career. Let me now conclude with Slide 23 and an update on the spin-off of our on-highway business. We are moving with great pace and all the work streams of this important portfolio transformation that we announced during our September Capital Markets Day are on track. On this slide, you'll find some of the key dates to keep in mind as we move through the next 12 to 14 months of this project with a view to trade as two independent companies by the beginning of January 2021. I have completed my prepared remarks, and now I'll turn it back to Federico.
Federico Donati: Thank you very much, Hubertus. This concludes our prepared remarks for the third quarter results and we can now open up for questions. Operator, over to you.
Operator: [Operator Instructions] We will take our first question from Ann Duignan from JPMorgan. Please go ahead.
Ann Duignan: Good morning. I think that's me.
Hubertus Mühlhäuser: Hello, Ann, that's you. Ann Duignan, yes. Great to have you on the call.
Ann Duignan: Good. First, let me ask you about your outlook for North America agriculture. The USDA recently issued their preliminary outlook for next year's planting and for corn and bean prices. Corn prices are estimated to be $3.40 next year on the back of the significant increase in planting. And corn is not impacted by trade or tariffs or anything. It's more impacted by strong - the strong dollar. So, Hubertus, could you square that with your comments about North America ag being better next year or stable when, in fact, it could take another step down on the corn side, which is more important than beans?
Hubertus Mühlhäuser: Well, Ann, two comments first. First, we don't want to guide in this call to 2020. So we're going to give the outlook for 2020 in our next call as you know. And the outlook that we provided was for the end of the year where we basically think there will be some purchase happening in November and December, on the back of the positive news, arbitrate deal, and on the back of the tax incentives and stabilizing commodity prices. Looking into 2020, and even though we don't want to give an outlook, we remain cautiously optimistic and I would like to keep it like that right now. We do believe that this trade deal that U.S. and China are going to sign, hopefully very soon in Iowa, as we heard right now, is going to be very, very important. That is going to provide a stimulus for North American ag. So our outlook remains positive for ag in 2020. Max, you want to add something to that?
Massimiliano Chiara: No.
Hubertus Mühlhäuser: No. Okay.
Ann Duignan: Okay. And if I could follow up then.
Hubertus Mühlhäuser: And, Ann, as always, one follow-up question. Okay.
Ann Duignan: My follow-up is probably another one you're not going to answer, but your competitors have guided significant decline in European truck going into 2020. Maybe a way to ask the question is how does your order book look? I know you're introducing new products. Would you expect to outperform an end-market that's down as much as 20% year-over-year?
Hubertus Mühlhäuser: Actually, I start and then Max chimes in. We're actually fairly positive for the truck business for next year, given that we come with brand new product on the light and on the heavy side and the S-Way has been received extremely well by our customers with order books, up 15% right now. And you might remember that we walked away a little bit from market share in this segment because we didn't have a competitive product. We now have it. And if you follow social media and you follow the strong reception of the product, I think we're going to be well-positioned in the truck market, in the heavy-duty truck market for next year. On top of that, we do see that the LNG story continues to have traction. As you know, that segment is up 100% versus last year and we also see further increases in demand there. Albeit, the demand was a little bit postponed from Q3 to Q4 and into next year, given that a lot of the European countries have moved the fiscal incentives for purchasing those equipments into their 2020 budgets. But if you also listen to the rhetoric and if you read the trade press, it is very obvious that this is the only available short-term solution to significantly reduce CO2 and NOx. And I think it is also very important to note that not only Traton and Scania is now firmly in the market with a product, but also Volvo has fully committed to that. And, yes, it's right, there are a couple of competitors that are still sitting on the sidelines and it might be that they won't have a product, but those OEMs that have a profitable and competitive product will see gains in market share there. And this would, of course, also help in a slightly muted truck environment for 2020. Max?
Massimiliano Chiara: Nothing to add.
Hubertus Mühlhäuser: Ann, because it is you - and we would --
Ann Duignan: Okay, thank you.
Hubertus Mühlhäuser: But, Ann, you have one more question, Ann, okay, because we ruined your last name, so please. One more question. I know you have one.
Ann Duignan: One more question. Oh, okay. Okay. Can you talk about $135 million charge for inventory reduction? That seems quite large. And is it one-and-done? How should we think about that? Or, is there any risk on residual values going forward? And just explain what that $135 million was a little bit more. Thank you.
Hubertus Mühlhäuser: Good question. Max will take it.
Massimiliano Chiara: So obviously, we, we look at this reserve on a regular basis. The new piece of information this quarter is that the commercial organization set up a, a program to, let me say, expand sales of pre-owned trucks into areas that were previously not covered. And so, we had to adjust the reliability of the value to market values that are achievable in those areas. And we thought that this is a good decision for our book of used business as we continue to manage inflows and outflows from the virtual portfolio of the buyback. As you know, we have been reducing penetration of buyback in the last year and a half significantly, which is very visible, obviously, in our market share performance in the recent history. But we think that with this action in place, we will be well-positioned to manage the inflow and outflow of the buyback going forward.
Operator: And the next question comes from the line of Steven Fisher from UBS. Please go ahead.
Steven Fisher: And I guess I should make my name more complicated to get more questions. But your price cost relationship was overall less favorable in the quarter. It seems like some of it was product development cost but also raw materials. I would have expected the raw materials to start turning positive. So can you just maybe give us a sense for where you see that price cost dynamic headed in the next couple of quarters?
Massimiliano Chiara: This is Max. It is, as you said, I mean, we also see in the incoming purchases deceleration of the inflation right now, which potentially may turn to a positive stance in the following quarters. The issue is that as we book our inventory at FIFO, we have to kind of flow through the inventory the purchase of raw material before we can see the benefit into the cost of goods sold. And so, as we churn the inventory in the next couple of quarters, we will be able to start seeing the benefit popping up in the early part of 2020.
Steven Fisher: Okay. That's helpful. And then, just related to the - can I ask a follow-up?
Hubertus Mühlhäuser: One follow-up, absolutely.
Steven Fisher: So just related to the construction equipment segment, what do you sense - what sense do you get from the dealer channel about how much of an inventory correction might be needed, how long if you go on and whether they have any retail indications for 2020 yet?
Hubertus Mühlhäuser: Again, we don't want to guide to 2020. But as we have said in our prepared remarks, we're cutting back on production. Specifically in North America, there is an inventory overhang and we're solving that. And our expectation for 2020 is to produce in line with retail. And the market environment is a little bit muted. It's not completely down. It's kind of a flattish market environment that we're seeing right now.
Operator: And the next question comes from the line of Ross Gilardi from Bank of America. Please go ahead.
Ross Gilardi: Yes. Good afternoon guys. I wanted to ask, is the $50 million Nikola gain included in your $284 million of adjusted EBITDA this quarter, and is it included in your adjusted EPS range of $0.84 to $0.88? If you take that out, it feels like you've cut the outlook by $0.02 to $0.04 depending on the tax effect, but I want to make sure I have that right.
Massimiliano Chiara: The answer is yes and it is worth $0.03 in the quarter and rounded to $0.02 for the year-to-date period, the impact of the Nikola gain.
Ross Gilardi: And, Hubertus, you say you don't want to guide on to 2020. But, I mean, I thought you did at your Investor Day in early September. I mean, I thought you said that you gave a preliminary expectation of, I think, it was somewhere in the low-to-mid EUR 0.90 cents range for 2020. I mean, are you walking away from that right now?
Hubertus Mühlhäuser: No.
Ross Gilardi: Or, how should we think about that commentary that you made?
Hubertus Mühlhäuser: No. We definitely don't walk away from that. That EPS guidance was given for 2020 to have one goalpost in the short term, and we are moving firmly into that and you're going to see that in our full guidance 2020. What I said, we don't want to give guidance for net sales yet for cash and the other items that we're usually guiding to because that we're going to do in the beginning of next year. But the EUR 0.95 to EUR 1 that we basically put out there at the Capital Markets Day, they stand there. And we are firmly committed to basically - and don't forget, our strategic plan that we presented had a lot of self-help initiatives in the first years of the plan and then had outgrowth in the second half of the plan. And as we have said here, we are moving very, very firmly on all our perform and simplify and optimize activities. We've only given here a selected overview of the initiatives that we are right now driving and we feel very good about the positive EPS impact that those will have in the short term. I hope that was clear.
Ross Gilardi: Well, I mean, it just seems like you're conceding that the demand outlook has gotten more difficult even though the self-help is front-end loaded in the forecast period. So, I would --
Hubertus Mühlhäuser: Yes, but we were, honestly, we were right in the midst of the budget period. We basically see the market in 2020 as we have predicted in our strategic business plan. So there is kind of not a big is not a big change there, but again, the detailed outlook as to the topline we're going to give soon, but there are no surprises right now in that market that we see.
Operator: And the next question comes from the line of Martino De Ambroggi from Equita. Please go ahead.
Martino De Ambroggi: Yes. Good morning. Good afternoon everybody. Martino De Ambroggi. One more follow-up on the 2020 EPS guidance, as you mentioned Nikola has a positive contribution in this year guidance, is it also a portion of Nikola included in the EUR 0.95 or EUR 1 guidance for next year?
Hubertus Mühlhäuser: Well, again, let's not push on 2020 right now. As we have said we're going to see more of those Nikola deals going forward. We have $150 million in kind, you will see this flowing through to our P&L. We said this continuously, and again, the guidance on EPS that we've given for 2020 stands. The rest will come at the appropriate point in time, which is in the beginning of the year. I hope you understand that.
Martino De Ambroggi: Yes. I understand. And sorry if I ask you one more. The impact for the full year of Nikola for this year is how much?
Hubertus Mühlhäuser: Well, we said that already.
Martino De Ambroggi: It was at? Yeah, yeah. I lost it.
Hubertus Mühlhäuser: $50 million, we --
Martino De Ambroggi: It was $50 million that we booked in Q3?
Hubertus Mühlhäuser: Yes.
Martino De Ambroggi: No, yes, but you also mentioned something for the full year expected in your --?
Hubertus Mühlhäuser: No, that is - , no, Max was - it's the $50 million that you're going to see. And Max mentioned the impact on EPS for the full year.
Martino De Ambroggi: Okay, but something more will come in Q4 probably?
Massimiliano Chiara: We've got some activity that are ramping up on the technical assistance, but it's not going to be a material amount.
Martino De Ambroggi: Okay. And the second question is on the --
Hubertus Mühlhäuser: No, that's - I think, honestly, that's it. That you had your one question and your follow-up even though we got your name pretty wrong, but we got seven more people in the line. And given that we had this interruption, so let's move on now with Dave Raso from Evercore, I would say. Thank you.
Martino De Ambroggi: Okay. I will ask one more.
Operator: The next question comes from the line of David Raso from Evercore ISI. Please go ahead.
David Raso: The inventory management this quarter and what you see for the rest of the year, how to play out versus your expectations a few months ago? I admit - I have to admit, I thought the inventory would come down a little bit more sequentially for the company or even within the channel. Can you just walk us through how the inventory played out versus your expectations?
Hubertus Mühlhäuser: Yes. So they played out more or less in line. Obviously, we need to remind ourself we are affected by several uncertainties including Brexit, and we have managed some buffer of inventory to protect against the Brexit situation. And the continued deferral on the Brexit deadline, obviously, is impacting also our stance. The other piece that, obviously, is impacting inventory this year that was not there last year is the engine stockpiling with the full impact this year until those engines are consumed as we navigate the transition to Stage V in Europe. So net-net, we are probably, I will say, a couple of hundred million behind. It's a number that is - can be achieved, is manageable for the fourth quarter. Historically, we have been able to generate cash from inventory in excess of $1 billion in the fourth quarter. So let's see how that plays out. But, again, we have updated the guidance to mainly reflect the M&A activity between the $50 million that we poured into Nikola as well as the $85 million that we are flagging now on the AG acquisitions, and then we'll see at the end of the year how the quarters plays out.
David Raso: And then just so I'm clear about the acquisition impact. The implied fourth quarter revenues are up 1% year-over-year. How much acquisition revenue is in that number?
Massimiliano Chiara: Very little.
David Raso: So, I guess, I heard the production comments for the fourth quarter that were understandably down, what's driving the sales then to roughly be flat to up a little bit despite the production cuts? There's just a lot of selling out of inventory, I guess, partly the trucks that you mentioned going to a new market for used truck sales, but just so I can square up.
Massimiliano Chiara: Yes, I would say that net-net, yeah, and when you set yourself in the middle of the new range of revenue, I will say for the quarter, Q4, I would, I will say that revenues are flattish. We don't assume a significant change in FX right now, which is kind of where we have been for the 9 months. So, yes, we have certain production cuts assumed into particularly the AG and CE business. We also have this, let me say, pre-owned trucks, a liquidation that will contribute. Plus, as you know, year-end activity on tenders tend to be higher. So net-net, we expect to be in that range.
Operator: And the next question comes from the line of Chad Dillard from Deutsche Bank. Please go ahead.
Chad Dillard: Just wanted to actually continue on David's question. So just trying to understand some of the moving parts of the 4Q revenues, how should we think about that from just individual segment level? And then also just on the North American order book, I think you mentioned it was flat exiting the year but just wanted to understand, I think, just what the cadence wise in terms of orders, I mean, are you seeing any acceleration or deceleration or anything that give you a bit more confidence for 4Q?
Massimiliano Chiara: And you are talking Ag, right?
Chad Dillard: Correct.
Massimiliano Chiara: So, as I said, we see orders in - slightly improving on tractors in North America versus the recent trend. The other markets are kind of the same of the last few quarters, with the exception of combines in Rest of World. But again, it's, it's a low comp comparison to last year.
Chad Dillard: Got it.
Hubertus Mühlhäuser: And I think it is noteworthy to say that we are gaining share right now on the combine side because we have a very, very competitive product there. So we have 4 percentage point gain in the quarter in North America and also in Europe. So I think that's also noteworthy that we have a good product there. So, if demand comes back, we should benefit over proportionately.
Chad Dillard: And then just on the commercial vehicle side, I think you mentioned that you saw some slowdown in the LNG side as just a regulatory issues needs to be sorted out. To what extent are you seeing a rebound or how much pent-up demand is there. And then on the medium and heavy-duty side, do you have any line of sight in terms of seeing a rebound in end market share and what do you need to do to get that kicked off?
Hubertus Mühlhäuser: Well, I mean, I think I address that. The LNG, I mean, you can say soft impact in the quarter. However, this segment is up 100% versus last year. We were around 1% last year. It's going to be around 2% this year. We'd expected it to be 2.5%. So it's 2% right now and that is really due to mainly Germany moving their fiscal incentives into the next year. But if you follow the rhetoric of all politicians and the European Union, is very, very clear that they will be very, very supportive of that technology. So we will benefit from that. And as you know, we have more than 50% market share in that segment. And as I've said, two of our main competitors are now firmly committed to LNG and have product which is competitive, however, not as competitive as ours because we have been the first and the market maker, so to say for many, many years on the LNG side. So our - we are kind of generation number three, where the others are starting with generation number one. That is on LNG. And then on the heavy-duty truck, I mean, it's on a very high level. We don't see that falling off the cliff next year. And as I said, we have moved away from the market a little bit. So we have basically reduced our share with the fleet deals because we didn't have a competitive and profitable product for us. And we're now moving back into the fleets and that's going to allow us a couple of percent market share gain in next year's market. So these two should be a positive stimulus in an overall kind of flattish overall truck environment next year.
Operator: And the next question comes from the line of Larry De Maria from William Blair. Please go ahead.
Larry De Maria: Good morning. Europe historically been kind of a fairly stable market, but the sentiment indicators and channel checks, et cetera, show a more of a coordinated weakness heading into year-end and moving forward after a fairly positive time and some excess inventory. Can you just discuss the outlook for Europe kind of broadly why it may be looking more like a sustained downturn or not?
Hubertus Mühlhäuser: Well, again, for 2020, I don't want to give yet an outlook. And as we're going to see all of you guys next week at the AGRITECHNICA show, I think that's going to be a great moment to talk a little bit about industry sentiment. And as you know, this leads agricultural technology show happens every second year and sentiment for the next year is usually created there plus there is a short-term purchasing impetus derived from this show as we said, because it is a retail show. So I think we should take that question next week when we see each other physically at the AGRITECHNICA, I think that is better. And again, I don't want to give yet a big outlook for AG sentiment 2020. Okay?
Larry De Maria: And then maybe, secondly, obviously, as discussed, the cadence of your M&A in AG has picked up, can you discuss maybe - I know AgDNA is FMIS, but it looks like maybe more of an AI play, where does that fit in? Are you guys moving into the AI space or is that more of an enabler and at some point should we be looking at maybe larger ag acquisitions?
Hubertus Mühlhäuser: Yes, I think as we said, I mean, we're just putting the money where our mouth was in September. We are firmly moving ahead with smaller buy and builds in all fronts AgDNA is really a farm management - it's more a software than artificial intelligence. As you know, we are very interested in the digital agronomy space. So you want to see some more things there. And as you also know, we have started our incubator AGEXTEND, and by the way, also next week, when we see each other, we're going to talk a lot about AGEXTEND because you see a lot of technologies that we are incubating there and selling through our channels, some of them being in the software space, some of them being in artificial intelligence space, and some of them just being great, cool technologies that we're bringing into the market. So, yes, you're going to see more smaller buy and builds. Larger acquisitions, we don't have right now on the horizon. It's really a nice buy and build and probably more to come.
Operator: And the last question comes from the line of Gungun Verma from Goldman Sachs. Please go ahead.
Gungun Verma: The first one, I want to come back to the production cost at the industrial level. If I look at Slide 27 in the presentation, it seems like about $130 million headwind is coming from this item alone, which is about half of what you've seen in year-to-date. Just trying to understand how do we think about that line item as we look through into fourth quarter and early 2020?
Hubertus Mühlhäuser: Max?
Massimiliano Chiara: The expectation is for the full year price to offset the production cost headwinds. The majority of those production cost headwinds are coming from raw material and tariff, I would say, more than 50%. And then another relative chunk, maybe 25% to 30%, comes from higher content as we continue to revamp our new launches. And then the balance in the quarter, which is about $20 million comes from the quality spend in construction, as well as the extra cost, the inefficiency related to the latest production adjustments both in construction and in AG.
Gungun Verma: And then just on your net debt guidance, so you've taken down guidance by $200 million. I understand about $135 million is because of these acquisitions. So just want to make sure that the mid-teen production cuts that you are targeting in AG for the fourth quarter, are they already baked in to your - in your net debt guidance, the benefit on the inventory side, from that? Thank you.
Massimiliano Chiara: Yes, everything is in, and the balance is a little bit of buffer.
Gungun Verma: Okay.
Massimiliano Chiara: We wanted to stay around that - on the numbers. Yes.
Gungun Verma: Okay. Thank you.
Hubertus Mühlhäuser: Thank you, Gungun. See you soon.
Gungun Verma: Yes.
Operator: Thank you. That does conclude the Q&A session.
Hubertus Mühlhäuser: Thank you very much to everybody. And sorry for the little technical interruption. And we look forward in seeing many of you next week at the AGRITECHNICA show. Thank you very much. Take care. Bye-bye.
Operator: Thank you. That does conclude our conference for today. Thank you for participating. You may all disconnect.